Operator: Good day, and welcome to the Fourth Quarter and Full Year 2015 Results Conference Call. At this time, I would like to turn the call over to Mr. Nihat Narin, Director of Investor Relations and Business Developments. Please go ahead, sir.
Nihat Narin: Thank you, Alex. And ladies and gentlemen thank you for your participation. I would like to say, welcome to our call on behalf of the management team here and we will start today with the presentation by CEO, Kaan Terzioglu, and followed by presentation by CFO, Murat Erden. And then we will go into the Q&A session. Just before we start the presentation, I would like to remind you of the brief legal notice. In this presentation, we will make statements that are forward-looking about our future targets and expectations. These are based on our current views and assumptions, which may of course change in the future and our actual results may be different. So, now, I hand over to Mr. Kaan Terzioglu. Sir, please go ahead.
Kaan Terzioglu: Thank you, Nihat. Good afternoon, and good evening, everyone. And welcome to Turkcell's fourth quarter and full year 2015 results call. We have a full house here today. I am joined by our executive team, including our Chief Financial Officer, Murat Erden; Chief Marketing Officer, Burak Sevilengül; Chief Sales Officer, Murat Erkan; Chief Technology Officer, Ilker Kuruöz; Chief Legal and Regulation Officer, Serhat Demir; Strategy Officer, Ilter Terzioglu; and Chief Business Support Officer, Seyfettin Saglam. The year 2015 ended up a strong quarter, building up the momentum. We have closed the year with 9.5% growth in Turkcell Turkey and 6% in the Group overall, with 32.4% EBITDA margin and TRY2.1 billion net income. Q4 was extremely strong with the revenue growth of 7.5%, EBITDA margin of 31.7% and the net income of TRY584 million. I have provided some updates you during the year, but before going into the details of the number, I would like to do a quick recap of 2015 in terms of the critical events. As you know we had a major year in terms of transforming our organization into a converged platform. We have combined two of our operating units, Turkcell as the mobile operator, and Superonline as a fixed operator into one operation, with one management team allowing us to create synergies around network as well as our channels organization, marketing and sales teams. We have followed the year with a strong performance on our 4.5G spectrum tender, where we have acquired the largest spectrum with 47% of the available spectrum in the market and over that spectrum; we have concluded our tests reaching up to 1.2 gigabit speeds last month. We have later on improved, as we have promised our globally relevant services portfolio, reflecting this strategy, we have launched a couple of digital services, including BiP, which is our communication platform, downloaded in more than 180 countries, and more than 6 million users. We have also progressed with our disciplined mergers and acquisitions approach, where we acquired 100% of Lifecell in Ukraine and also announced our intention to acquire the remaining stake into Fintur, where we have already holding 41.45% stake. This year also saw important developments in the way we managed our balance sheet. We have achieved three investment grade ratings from three major international agencies. We have concluded on debt restructuring in Ukraine and Belarus. We have raised funds up to $2.9 billion, established our consumer finance company, which will improve our working capital and as well as we have settled our ongoing disputes with Turk Telekom, clearing the ground for an effective and efficient way of managing our markets. Let me go back to the financial highlights. 2015 has seen a robust performance both operationally and in terms of financial results, where we have delivered on our guidance. Again, our group revenues grew 6% to TRY12.8 billion, while we have recorded an EBITDA of TRY4.1 billion 10.1% year-over-year growth. Both are record levels for the company. Our actions to optimize the organizational structure and focus on cost management resulted in 1.2 percentage points improvement on EBITDA margin after many years. Our pro forma net income rose by 18.3% year-on-year to TRY2.6 billion. While net income according to IFRS increased to TRY2.1 billion. Moving on to the next page. I would like to also give you some highlights from our domestic operation in Turkcell Turkey. Turkcell Turkey was our main growth driver. The revenues of Turkcell Turkey, which account for 90% of our group revenues rose 9.5%. The EBITDA ramped up by 13% year-on-year to TRY3.8 billion with a margin of 32.7%. In Q4, EBITDA margin was up by 2.1 percentage points. This comes on the back of efficiency measures and our value focused customer acquisition strategy which has increased more takeover of valuable customers, while decreasing the churn rate. Turkey's pro forma net income rose by 17.9% year-on-year to TRY2.3 billion and net income according to IFRS increased to TRY2.5 billion. Moving on to the solid growth numbers in terms of the operations, Turkcell Turkey accelerated during the year to double-digits due to our value focused customer acquisition strategy and restoring inflationary pricing. Overall, this led to 9.5% annual growth with a one percentage point rise in EBITDA margin. The consumer segment generating 80% of Turkcell Turkey, grew 10.2% year-on-year due to a strong growth in mobile and fixed broadband and services reflecting ever rising demand. Corporate business posted 6.5% growth, while wholesale revenues increased 9.4% this year. I will now mention the performance of key revenue drivers. Data generating 31% of our business in Turkey continued to grow rising 38.1% in 2015. Quarterly strong performance continued in data terms in both mobile and fixed broadband. The growth based in mobile broadband came from the rise in smartphone penetration to 52% by the year-end, increased number of users and higher consumption of 1.7 gigabits per user. In line with higher penetration of innovative services and key digital services, revenues rose 38.5% year-on-year. Although, we have seen less than 50% contribution in Q4 on a yearly basis, voice revenues generated for the entire year 52% of the total. For the first time in Q4, voice revenues represented 49.9% of the total revenues. The decline in voice revenues slowdown compared to the previous year mainly due to our focus on restoring inflationary pricing in the market. In 2015, in line with our new structure and strategic priorities, we redefined our target market as the total telecoms market. We are extremely happy and comfortable in terms of 45-point percent revenue share in terms of the progress of market shares and this has seen an improvement over the last two years. Going forward, in line with our convergent strategy, our focus will be on profitably increasing our market share to take the leading position. We believe we are best positioned to monetize convergence in Turkey. We are ready for a new era of convergence and this will create a new opportunity for us. We are number one in spectrum. We are number one in mobile subscriber base. We are number one in fiber market share. We are number one in customer care. As well as we are number one in postpaid customer penetration. We have already the highest quality mobile and fiber networks and 4.G will widen the quality gap even further. Organizational transformation being completed and being integrated all the relevant business lines. Now, we have also integrated our best-in-class exclusive sales channel to meet our customer’s communication needs. This resulted in 4.5 grading for our owned franchise whereas for the exclusive, we are leading by 4.2 out of 5 customer satisfaction ratings. Moreover, as of February, our consumer finance company started its services in flagship stores, and as of March the 1st, it will be available nationwide. We have the largest premium customer base with the highest loyalty in the market and we are most successful in terms of increasing our postpaid customer base. In 2016 and onwards, our customer will experience a more converged Turkcell in our retail and active sales forces. We have a strong subscriber growth. Turkcell Turkey’s outstanding financial performance was backed by solid operational results, where we have the highest net additions in the market for postpaid, fiber as well as IPTV. We have added the highest number of postpaid customers by 1.4 million. We have also added the highest number of fiber-to-the-home customers with 164,000. Our IPTV customer base increased by 164,000 and the smartphone penetration increased by 12 percentage points from 40% to 52%. The Turkcell TV platform has added a record 216,000 subscribers in the last quarter, reaching a total of 558,000. This was the highest increase in the market and exceeded our year-end targets. In fixed marketplace, we have increased by 329,000 in 2015, again exceeding 1.5 million on the back of our expanding fiber network, strong sales force and customer care efforts. Monetizing multi-play will be at the core of our operations next year and onwards. If you look to our single play, double play and triple play customers on mobile side and also single play, double play and triple play customers on fiber residential side, we see a healthy growth of the penetration of more services per customers. This is a major component of our convergence strategy and we will be focusing on penetration of the multi-play offers in this year and onwards. On mobile side share of double and triple play offers has been increasing and this is a great potential for ARPU uplift. In light of this, along with the higher postpaid share, data and mobile services growth and inflationary adjustments, mobile ARPU increased by 9.1% to TRY25.1. On the fixed side, we focused on increasing penetration of multi-play offers through various campaigns, our triple play ratio that includes voice data and our TV offering in total fiber residential subscribers rose to 23% at the end of the year. Going forward with the increase of our scale, we expect to see ARPU lift with double and triple play offers also on the fixed side. Overall fixed residential ARPU improved 4.6% year-on-year to TRY50.3 positively impacting the growth in triple play customers. Our focus on digital services is continuing. In line with our game plan we continue to leverage our wide range of services and solutions such as BiP, Turkcell Muzik, Smart Storage and Goals on your Mobile services continuously. Our new generation communication platform BiP with differentiated features of voice and video calls continue this rapid rise surpassing 6 million as of today. Within a short period, global downloads had increased to 302,000, which is encouraging. Of the total, 36% of BiP users are non-Turkcell users. Recently, BiP has been attached to our roaming packages as an initial step to monetize its potential. BiP being the first OTT product properly backed by a licensed mobile operator sets a new stage in this marketplace. BiP has been also launched in Ukraine, Belarus and Germany. The most widely used personal cloud service, Smart Storage geared up to 1.7 million users, while Turkcell Muzik reached to a 5.4 million downloads since the launch. Every day more than a million songs is being listened on Turkcell Muzik. The best sports app in the sector Goals on your Mobile, basically putting videos of the scores on an every week basis downloaded by 1.8 million times users and 500,000 downloads in the last quarter. As highlighted, our new generation TV platform TV+ continued its solid performance, increasing its subscribers to more than 600,000 web, mobile as well as on IPTV platforms. We are setting the stage for the new 4.5G experiences as well. In 2016, the most important focus area will be the 4.5G launch. We will continue our investments and be the first and only operator to offer 1 gigabit 4.5G speed with the availability of supporting terminals in the near future. That will also mean for household’s faster deployment of fiber like speeds by utilizing this network. As an initial step to redefine TV experience, we have recently launched the 4.5G supported projector based TV in our shops. Our customers will enjoy high quality TV watching experience wherever they are, anywhere through their smartphones and tablets at every affordable payment plans offered by the consumer finance company. It is critical to monetize the transition from big screen TV experience to small screens. Looking to our international business. Turkcell International is improving its profitability. Turkcell International revenues constituting 7% of our group revenues and 6% of our EBITDA, where at TRY856 million with the impact of currency devaluation, while the EBITDA margin rose up 4 percentage points to 28.7%, reflecting cost efficiencies. Recently, our Ukrainian subsidiary launched its brand, the new brand Lifecell, bringing it closer to brand identity of Turkcell as well. Lifecell is the major component of our international business and its continued double-digit growth in local currency terms, despite the continued macro-economic and political challenges in the region. The EBITDA margin rose 2.7% to 33.2% year-on-year. In Belarus, the local currency shut 57% against the U.S. dollar during the year. In local currency terms, the revenue rose by 13% year-on-year with continued improvement in EBITDA. Our operation in Northern Cyprus comprising 15.3% of our international revenues recorded as 7.6% year-on-year decline due to regulatory changes regarding maximum price ceiling change and termination rate cuts. EBITDA margin continued to be strong with 38.4%. As highlighted, the overall 2015 performance of Turkcell Group has realized at the higher end of our revised guidance. As communicated before, we expect 8% to 10% revenue growth both for Turkey and the Group, mainly driven by growth in data and service revenues as well as improved contribution from international business. We also target an EBITDA margin of 31% to 33% and operational CapEx to sales ratio around 20%. In light of these, we reiterate our mid-term ambition levels of 10% to 14% growth, 32% to 35% EBITDA margin. And over the midterm, 17% to 16% CapEx to sales ratio. Now, I would like to hand over to Murat for the financial review, Murat?
Murat Erden: Thank you very much, Kaan. Good afternoon, and good evening to all participants. I will now talk in more detail about our financial results. In the fourth quarter of 2015, Group revenues rose to TRY2.3 billion with the strong operational performance from Turkcell Turkey, due to solid data and mobile service and solutions growth. For the full year, Group revenues increased 6% year-over-year. The main growth driver is again Turkcell Turkey, mainly due to the 52% yearly devaluation in revenue [ph] against U.S. dollar in Ukraine, and 57% devaluation of Belarusian ruble against the U.S. dollar in Belarus. Turkey Turkcell International revenues contracted 24.8% year-on-year. Other subsidiary revenues comprised of our information and entertainment services and wholesale revenues grew by 1.6% to TRY432 million. Let me move onto page 19. In the fourth quarter, consolidated EBITDA rose by 15.4% year-on-year to TRY1.1 billion. EBITDA margin improved by 2.1 percentage point to 31.7% on the back of efficiency measures and our focus on higher value generating customers, which resulted in a declining S&M expenses by 1.9 percentage points and the direct cost of revenues by 0.5 percentages points. For the full year, consolidated EBITDA rose by 10.1% to TRY4.1 billion, while the EBITDA margin was up by 1.2 percentage points to 32.4%, driven by the mainly higher revenue generation and lower S&M expenses. This marks the highest full year EBITDA margin print of the past five years. Let me move onto the next page. In the fourth quarter, pro forma net income increased by 28.7% to TRY671 million, whereas as per IFRS net income was TRY584 million. Net income increased mainly due to higher EBIT by TRY155 million, higher contribution from Fintur and translation gains of TRY45 million in the last quarter as opposed to the translation losses of TRY383 million in the same period last year and this is despite lower interest income resulting from lower cash balance after dividend payment and higher interest expense on loans and several one-off items. In 2015, Group pro forma net income was TRY2.6 billion. Net income as per IFRS increased 10.9% to TRY2.1 billion mainly due to higher EBITDA, lower rate translation losses and high contribution from Fintur. Let me remind, no more again recognize as an inflationary accounting, no more again recognize as inflationary accounting was discontinued in Belarus in 2015. One-off items in Q4 and full year included settlement cost, include [ph] regarding the disputed Turk Telekom Group payments for commercial agreement terminations and discontinued impact of 4.5G VAT receivables according to IFRS rules. On the next page, let me talk about the balance sheet highlights. As of the end of 2015, total debt rose to TRY4.2 billion. We issued a Euro bond with an aggregate principal amount of $500 million and utilized EUR500 million of debt under our loan agreement with China development bank. Meanwhile, following the debt restructuring of Lifecell and BeST, $700 million repayment was made in this quarter. Consequently, by the end of last year 2015, total debt of our international subsidiaries are all in local currency. With this strong and more efficient balance sheet structure, our net debt to EBIT term ratio was 0.3 times changed from a net cash position of 1.4 times a year ago. Current levels are far better than the industry average and in a safe zone of investment grades that we receive from all three of the world's leading credit rating agencies. Now moving on to the next page. I would like to briefly discuss about our FX breakdown and our main balance sheet and P&L items. We said that balanced FX, cash and debt position which in general reduces currency exposure. All of the FX debt position is related to Turkcell Turkey. In Turkey, around 70% of CapEx is in foreign currency. Meanwhile, around 4% of our revenues and around 10% of our OpEx is in foreign currency. This brings us to the end of our presentation today, and thank you very much for being with us here today. And let us move on to the Q&A session.
Kaan Terzioglu: Thank you, Murat. Alex, we are done and now please initiate the Q&A session. Thank you.
Operator: Thank you. [Operator Instructions] We have an opening question from Roman Aberazoff of UBS. Please go ahead. Your line is open.
Roman Aberazoff: Thank you for taking the question. So, it's a two question please. The first one is on Tower's. There is an announcement on the Ukraine that has just come through. So, it seemed like you are preparing for a Tower sale in Ukraine. So, could you please explain your intentions there? But perhaps more importantly, could you please elaborate on some recent speculation or the possibility of you potentially IPOing or otherwise monetizing your Tower assets in Turkey, please. So, that's the one sort of set of questions. And secondly on Fintur, please. Could you just give us an update sort of where you are in that process and perhaps as part of that answer, could you please confirm that you have the right to tag along and you have the right of first refusal, when it comes to Fintur. Thank you very much.
Kaan Terzioglu: Thank you very much. Let me start with the Tower's question. Yes, you're right, today we announced the sale of Tower on by our Lifecell subsidiary to Okur Telekom which is an 100% owned subsidiary of Global Tower. We are very much inspired by the asset light approaches in the industry and we would like to make sure that we get the best shareholder value for our assets. So, you can consider this as part of the preparation for monetizing our passive infrastructure assets as Turkcell Group. So, this was the first action on that. We are exploring our options of understanding, what is the best way to create shareholder value in this area. Following, on with the Fintur question, as it is known, we have provided a non-binding offer to TeliaSonera to actually acquire the remaining shares in Fintur. We already own about 42% of Fintur and we are interested in buying the remaining shares to make sure that first of all we protect and maximize the value of Fintur for our shareholder. We do have tag along and first write-off refusals as you asked and with the due diligence process is progressing as we speak.
Roman Aberazoff: Okay. Could you please tell us how many towers you have in Turkey please?
Kaan Terzioglu: We are not disclosing that number, but if further developments happen we will make a public announcement about that.
Roman Aberazoff: Thank you very much.
Kaan Terzioglu: Thank you.
Operator: We will take our next question from Ivan Kim from VTB Capital. Please go ahead. Your line is open.
Ivan Kim: Good afternoon. Two questions from my side, please. Firstly, on the mobile price in Turkey. So have you started to implement the inflationary pricing this year and what was the response of your competitors to that. And then secondly on the share buyback. So apparently the Board has sort of key to TRY200 million for the share buyback from company's resources and cash flow. I was just wondering whether you can use leverage as well for the share buyback or should we expect the total amount of buyback at TRY200 million this year. Thank you.
Kaan Terzioglu: Thank you very much. This year we have a very clear focus on by getting more high end value customers and postpaid customers. And I believe the telecoms industry over the last three years with the penetration increases in the smartphones has become a vital element of our customer base. This actually position us to make sure that we deliver more service, higher quality services and also demand for the right prices for the services we deliver. Our focus has been profitability and making sure that we increase our high value customer acquisitions and lower the churn to make sure that we make the best margins in the business. We are not a market share focused company and we are not going to be on the price competition and the inflationary pricing decisions we have taken has paid back this year. We - therefore, I won't to make specific comments about the competition, I suggest that you ask the question to them. With regard to the share buyback decision, we have as you know announced a three-year mid-term plan. As announcing the three-year mid-term plan, you will also notice that in our announcements this quarter, we have also announced maybe as one of the leading first companies to announce a long-term incentive plan. For the time being, the share buyback agenda item for the general assembly that we have announced is regarding the long-term incentive plan and basically the necessary hedging that we may need to do on that regard. We do not intend to leverage the company to buyback our own shares.
Ivan Kim: Thank you very much.
Kaan Terzioglu: Thank you.
Operator: [Operator Instructions] Our final question comes from the line of Kray [ph] of Deutsche Bank. Please go ahead. Your line is open.
Unidentified Analyst: Thank you very much for the presentation. Two questions, if I may. First, the postpaid sub-additions in the first quarter has been quite strong. Can you share your expectations for the year end for 2016 postpaid prepaid mix and smartphone penetration on your network specifically? And secondly, you have voice necessity of five infrastructure pools into ahead of 4G or 4.5G` launch. Over the past months, do you think or what is your view in terms of the regulator taking an action in that regard.
Kaan Terzioglu: Okay. Let me first of all pass the question of the postpaid additions and the strong additions performance to Burak.
Burak Sevilengül: As Kaan mentioned earlier, our focus on adding more high value customers our subscriber mix continues. So we expect to keep our strong growth trend in the postpaid subscriber going forward in 2016. And we believe we will be finishing the year of all slightly above 55% postpaid share and around 60% smartphone penetration.
Kaan Terzioglu: And Kray [ph] can you repeat the second question again, the regulatory issue you mentioned.
Unidentified Analyst: Yeah, in terms of the 4G fiber infrastructure in Turkey, you have voiced the necessity of creating a unified pool in effect combining or the combination of your competitor networks and yourself. And to lower the overall CapEx. Do you think you or do you see a probability that the regulators may take an action in that regard and i.e. going forward and essentially maybe not souring, but incentivizing the operator to combine the fiber network?
Kaan Terzioglu: Sure, now I understand. Thanks a lot for the clarification. Moving on with 4G and 5G over the next couple of years, we'll require a robust fiber infrastructure. If you look to this requirement, it means that operators in Turkey will need to invest heavily in fiber networks. We have strongly stated our position that doing this without a coordinated way will be waste of investments in Turkey and we believe that the operators should consider joining their forces to deploy a fiber to increase the capacity in the entire country. So, we have indicated this offer and I think this has been also being reviewed and positively supported by the latest comments of the minister. And we consider this as not as specific competitive advantage for us but as something that needs to be done for the Turkish economic vitality.
Unidentified Analyst: Thank you very much.
Kaan Terzioglu: Thank you.
Nihat Narin: Alex, we have another question is coming from the actual webcasting and Faros Kumar [ph] from JP Morgan is asking. The question is what's the Turkcell's strategy of following the end of the Turk Telecom's regularity fiber follow that in '16. So I hand over to our CEO to respond the question please.
Kaan Terzioglu: Yes, I actually will refer back to the answer I have provided a minute ago. The new requirements of 4G and 5G networks and the consumer patterns basically require a widespread fiber deployment in the country. And I think this will require a coordinated approach and it will be essential that the right regulatory environment for the competitive landscape be addressed by the regulator and the ministry of telecommunications.
Nihat Narin: Thank you.
Kaan Terzioglu: Thank you.
Nihat Narin: Alex, we may have following questions. Please go ahead.
Operator: Thank you. [Operator Instructions]. We have the follow-on question from the line of Roman Aberazoff of UBS. Please go ahead. Your line is open.
Roman Aberazoff: Thank you for the opportunity. I was just looking at your guidance for 2016 as well as the medium-term guidance. So, I think the 2016 guidance within the context of 2016 to '18 looks perhaps a little bit less ambitious. So, I'm just wondering what gives you most confidence that you can accelerate growth in '17 and '18 versus '16. And also, just to follow-up on CapEx, what is the rate do you think to your medium term CapEx spend given that some of your peers have rate and see that CapEx ambition.
Kaan Terzioglu: As you can imagine, this year we're going to be deploying 4.5G infrastructure in Turkey, as well as 4G in Belarus and 3G is Ukraine. So, this is going to be a quite an investment year for us and that's why we expect this year's CapEx will be around 20% maybe slightly 20-21 ranges for this year, which is very normal. And I would not be worried about this considering that this is an investment that we need to put in place in a timely manner. Over the long-term, I expect this to go '17, '16 ranges actually and normalize at those levels. We expect over the next three years including the license payments, a CapEx investment around TRY13 billion. And this includes all the license payments as well. With regard to the guidance for 2016 and mid-term, we believe our operations in international markets as well as increase of triple play and double play customers both on mobile and fixed will give us the right growth momentum. And for 2016, our EBITDA margin in between 31 to 33 simply reflects the launch of 4.5G and potential additional expenses on launch and the customer acquisitions spree we will see in the first quarter.
Roman Aberazoff: Okay. Thank you very much.
Kaan Terzioglu: Thank you.
Operator: As we have no further questions, I would like to turn the call back to the speakers for any additional or closing remarks.
Kaan Terzioglu: Well, thank you very much for being with us on this call. Very, very glad to report to you 2015 and looking forward to 2016 results in three months from now. Thank you.
Operator: Thank you. That will conclude today's conference call. Thank you for your participation, ladies and gentlemen. You may now disconnect.